Operator: Good afternoon, ladies and gentlemen and welcome to the Acxiom Fiscal 2016 Third Quarter Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Ms. Lauren Dillard, Senior Director of Investor Relations.
Lauren Dillard: Thank you, operator. Good afternoon and welcome. Thank you for joining us to discuss our fiscal 2016 third quarter results. With me today are Scott Howe, our CEO and Warren Jenson, our CFO. Today’s press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. For a detailed description of these risks, please read the Risk Factors section of our public filings in the press release. Acxiom undertakes no obligation to release publicly any revisions to any of our forward-looking statements. A copy of our press release and financial schedules, including any reconciliation to non-GAAP financial measures is available at acxiom.com. Also during the call today, we will be referring to the slide deck posted on our website. At this time, I will turn the call over to Scott Howe.
Scott Howe: Thank you, Lauren. Good afternoon and thank you for joining us. I am pleased to report another solid quarter highlighted by continued momentum and top line growth across the board. Similar to past quarters, I would like to spend my portion of the call updating you on each of our businesses: our LiveRamp Connectivity business; our Audience Solutions data business; and our Marketing Services portfolio. I continue to be encouraged by our progress and believe we are just beginning to reap the benefits of our divisional alignment. Each piece of the business is executing soundly against its unique opportunity set and at the same time working together toward the shared vision of powering the world where all marketing is relevant. For each division, I will share some highlights from the quarter and talk about where we are focused in Q4 and FY ‘17. Let me start with our SaaS or connectivity business. Connectivity had another impressive quarter, highlighted by strong top line momentum, new customer and partner additions and continued product innovation. If you turn to Slide 3, I will update you on our key metrics. We signed over 40 new connectivity deals in the third quarter and added approximately 20 new direct customers. In total, our direct customer count grew to over 270. If we included indirect customers, whose data we onboard through our reseller partnerships, this number would be multiples higher. We generated approximately $28 million in revenue during the quarter, up 28% from Q2 and up almost 60% compared to prior year. We exited Q3 with a revenue run-rate of $100 million, up from $90 million at the end of Q2 and up over 60% year-over-year. As a reminder, this measure represents our quarter ending subscription ARR plus our trailing 12-month royalties on first-party media spend. We also continue to build out our partner ecosystem and added close to 30 new integration partners in Q3. We are now integrated with roughly 275 marketing platforms and data providers representing the largest network of publishers and marketing technologies in the industry. And lastly, LiveRamp pipes powered $122 million of total gross media spend during the quarter, up almost 50% sequentially and up 66% compared to prior year. This was a record gross media spend quarter. On a trailing 12-month basis, gross media spend was $317 million, up 18% over last quarter. I am also very excited by the response we are seeing in the market to Customer Link, the new data connectivity service we announced in September. While data on-boarding provides the pipes that enable a brand to push their data out to various marketing platforms, Customer Link reverses the data flow, pulling data in and enabling a more accurate people-based approach to measuring marketing performance. Last quarter, we signed 10 new Customer Link deals, bringing the total number of active clients to approximately 25. In addition, the number of records processed through Customer Link significantly accelerated during the third quarter. We are well ahead of our initial launch objectives. Today, our new product revenue represents only a small portion of total revenue. However, we expect this to be a more meaningful contributor to next year’s revenue growth. We continue to invest in our core platform to extend our leadership position in the market and delight our clients. We recently delivered a significant boost in match rates, which increases the value that clients receive from their investments in data connectivity. Some clients were able to experience as much as a 50% increase in their match rates on a relative basis, thanks to the expanded match partnering agreements and deeper integration with Acxiom AbiliTec for powering core recognition capabilities. We have also tripled our mobile matching capabilities over the last 6 months. Simply put, these improvements represent the biggest one-time increases in match rates since the birth of onboarding. While these achievements are substantial, we are just getting started. In the quarters ahead, we will drive further gains in match rates while accelerating turnaround times and expanding our network of integrations. Through sustained investment in our core recognition, privacy and distribution technologies, we will not only provide better service to clients for the products they own today, we will also lay the foundation for new used cases that expand and enrich our product portfolio in the future. In summary, connectivity had another great quarter and our strong results demonstrate the network effect of this business. Everyday, it seems as if our opportunity is getting bigger. Just as the build out of the nation’s power grid enabled countless businesses to develop and thrive over a century ago, we believe open connectivity services that make it safe and easy to move data between marketing systems will fuel innovation and transform how brands engage with their customers. Looking ahead to Q4 next year, we are investing against this opportunity, so that we continue to scale and grow in both the U.S. and key international markets. Let’s switch gears now to our DAS, or Audience Solutions business. I recently talked about our longer term vision for Audience Solutions, a business that serves a growing customer base, provides a broad array of high-quality data, generates sustained top line growth and delivers increasing returns on scale. We are not yet where I would like to be, but early signs indicate that our investments are beginning to payoff. In the U.S., our Audience Solutions business grew by 3% year-over-year. As discussed on our last call, the staffing of our specialist data sales force was largely completed in Q2. Year-to-date, these investment hires have already driven nearly $10 million in annualized revenue for us. During the quarter, we added close to 50 new data clients and closed over $15 million in new bookings. On a trailing 12-month basis, new bookings are up 15% over the comparable period. We continue to expand distribution to digital channels and added 18 new data services partners in Q3. Our data is now available at more than 70 online and mobile publishers, television operators and ad tech platforms. We also expanded several existing relationships during the quarter. For example, Acxiom data is now available through Audience Marketplace, a new data exchange in Adobe Audience Manager. In addition, new Acxiom data sets can be accessed within MediaMath. Finally, on the costs side, our data procurement and optimization initiatives are producing results. And while this year, the associated savings are offsetting the investments in other areas, over time, we expect these to lead to meaningful margin improvement. While I am happy with the progress we are making in each of these areas, perhaps the biggest highlight from the quarter was the launch of Acxiom television at the Consumer Electronics Show. Our expanded addressable TV offering makes it easier for customers and partners to reach desired audiences with relevant messages across TV platforms and formats. These enhancements were fueled by the tuck-in acquisition of Allant’s TV assets late last year. The acquisition provides partners with the greatest ability to create and target audience segments at scale in a privacy safe way. Media buyers and sellers can now activate data across an expanded ecosystem that includes TV partners representing nearly 50 million addressable homes and over 100 million individuals. Ultimately, this is a big win not just for Acxiom but also for brands and their agencies, TV operators and programmers and for consumers. Consumers will enjoy more connected and relevant experiences with the brands they love. Marketers and agencies will be able to reach specific audiences across content, screens and formats and use the same audience definitions across a bigger portion of their media plan. And TV operators and networks will be able to derive greater value from their advertising inventory. Today, addressable TV represents a small, a small but fast growing revenue opportunity for us. Demand for marketers continues to grow and year-to-date, we have more than doubled the number of addressable TV campaigns powered by our Safe Haven. The Allant deal will allow us to significantly accelerate the number of targeted TV campaigns we will enable in the coming year. In short, we are planting the seeds now for our future growth. In summary, it is still early, but our Audience Solutions team is making good progress. However, as I have cautioned in the past, we will continue to face headwinds in Q4. But with continued execution and focus, we will set ourselves up for a stronger FY ‘17. Now, let me talk about Marketing Services. I am pleased to report another solid quarter for Marketing Services, which grew 3% in the U.S. year-over-year. Building on the momentum exiting last quarter, the team signed several key deals during the period, including a large renewal with a major technology provider and an up-sell agreement with one of our top financial services clients. In addition, just last week the team signed a new logo contract with a leading digital media company that included not only Marketing Services, but also connectivity into Audience Solutions products. This is a great example of our Marketing Services sales team working closely with our other divisions to identify opportunities for client up-sell and cross-sell. Before concluding, there is one piece of organizational news that I am excited to highlight. Last month, we announced the promotion of Dennis Self to President and General Manager of Marketing Services. Throughout his career, Dennis has garnered a strong reputation for balancing excellent leadership with an ability to be a steward of change. Dennis has held several important marketing leadership positions within Acxiom. Most recently, Dennis led the Marketing Services delivery organization, where he played an important role in our ongoing effort to modernize our architecture and approach to client delivery. He is also excellent with and a champion for our clients. He has helped us to navigate major technology opportunities with some of the world’s largest brands. Prior to his role in delivery, Dennis served as CIO and Head of Technical Operations for Acxiom, where he led the transformation of our IT function and spearheaded the implementation of our next-gen network and infrastructure. Before Acxiom, he served as CIO for Gilead Sciences and Electronic Arts. Let me conclude the same way I began and express my excitement over the progress we are making. Each division is executing soundly against its respective initiatives and at the same time, working well together to accelerate the progress of the other two. Connectivity is leveraging the recognition capabilities of Audience Solutions to boost match rates. Audience Solutions is utilizing LiveRamp’s pipes to accelerate the growth of digital data revenue and Marketing Services is building new capabilities that enable clients to better leverage connectivity and data and it is just getting started. As we look ahead to the fourth quarter, we are focused on building on this momentum and positioning each business for sustained success in FY ‘17. With that, thank you again for joining us today. We look forward to closing out the year with a strong finish and updating you on our continued progress in coming quarters. I will now turn the call over to Warren.
Warren Jenson: Thanks Scott and good afternoon everyone. In my portion of the call today, I would like to first run through the quarter, then talk about each of our segments, provide an update to our fiscal ‘16 guidance and finally mention a few preliminary thoughts for fiscal ‘17. A few highlights from the quarter. Overall, while there is still much to demonstrate, this was the strongest quarter we reported since I have been at Acxiom. As Scott mentioned, each of our divisions posted revenue growth and we had meaningful margin improvements in two of our three segments. Next, equally, if not more important, each of our divisions is finding its stride and our teams are clear on their direction and accountabilities. And finally, this quarter marks the final leg in our journey to report in three clear and transparent segments. In addition to updating our external filings, we have also prepared a trended view of our historical financials. This data can be accessed through our IR site under Financials and Filings. From a financial perspective, each of our divisions reported top line growth and total company revenue was up 6%. Excluding an unfavorable $2 million FX impact and the EU restructuring, total revenue was up 8%. In the U.S., total revenue also increased 8%, representing the sixth sequential quarter of positive growth. In fact, in four of those quarters, the U.S. grew by 5% or more. Adjusted EBITDA improved 5% year-over-year and has been up in each of the last seven quarters. On a trailing 12-month basis, adjusted EBITDA is up 12% over the comparable period. Connectivity had another strong quarter. Revenue was up approximately 59%. And I am excited to share that our revenue run rate exiting the quarter grew to over $100 million. Connectivity gross margin improved to 57% and operating income was nearly breakeven again this quarter. Marketing Services revenue was up 1% in total and 3% in the U.S. Similarly, Audience Solutions revenue was also up 1% in total and 3% in the U.S. I am pleased to say that our international business, excluding items was up 5% in the quarter and we were profitable in both Marketing Services and Audience Solutions. Europe had an exceptional quarter, revenue excluding items, increased by approximately 15%. During the quarter, we completed the tuck-in acquisition of Allant’s addressable TV assets, including IP, data assets and significant partnerships. We are pleased to welcome Eric Schmitt and his team to our company. This transaction meaningfully expands our addressable TV offering. And finally, during the quarter, we repurchased $10 million of stock. Since inception of our share repurchase program, we have acquired 14.8 million shares for a total consideration of $240 million. Now, let me discuss our third quarter results in more detail. Starting with Slide 4, our summary financial results. First, our GAAP results. Total revenue was up approximately 6%, gross profit was $95 million, up 16% and gross margin improved 360 basis points to 43.2%. OpEx for the quarter was $96 million, up 13% driven mostly by investments in sales and marketing and an increase in incentive compensation. GAAP loss per share was $0.01. Both the current and prior year quarter were impacted by the retroactive reinstatement of the R&D tax credit, which contributed approximately $0.02 per share in each period. Absent that, we would have recorded a loss of $0.03 in the current quarter. Next, our adjusted results. Total revenue was also up 6%. Excluding items, revenue increased 8%. Adjusted gross profit was $100 million as compared to $87 million. And our gross margin improvement – and our gross margin improved from 41.6% to 45.2%. This increase was driven by growth in connectivity and the combination of growth and cost reductions in Audience Solutions. Excluding items, operating income was $22 million, up 7% year-over-year and earnings per share were $0.18 as compared to $0.17 a year ago. The $0.02 tax benefit is also included in our adjusted results. Excluded items in the quarter totaled $23 million, including stock-based compensation of $8 million; intangible asset amortization of $4 million; separation and transformation-related third-party expenses of roughly $7 million; and lastly, restructuring charges of just over $4 million. Please note that intangible asset amortization is included in cost of revenue and separation and transformation-related expenses are included in G&A. Slide 5 highlights our revenue results as reported and Slide 6 adjusts for our EU restructuring. In the U.S., total revenue was $199 million, up 8% driven by growth across all of our businesses. Connectivity was up 60% year-over-year. And both Marketing Services and Audience Solutions were up 3%. International revenue as reported was down 7%. Revenue adjusted for items was up 5%. Improvements in Europe were offset by continued economic weakness in China. Now, turning to Slide 7, our segment results. First, Marketing Services, total revenue was up 1% year-over-year and revenue in the U.S. was up 3%. Gross margin decreased to 33.3%, driven by infrastructure investments in the U.S. and to a lesser extent higher incentive compensation. Operating income decreased by $2 million to $20 million and margins declined to 17.5%. Slide 8, Audience Solutions. Audience Solutions performed solidly against our expectations. And while there is still a lot to do, the strategy our team have laid out is beginning to take root. For the quarter, total revenue was up 1% year-over-year and revenue in the U.S. was up 3%. Gross margin improved over 700 basis points to 58.8%, driven by a reduction in data spend and other operational cost savings. Operating income grew 6% and margins improved to roughly 40%. Slide 9, connectivity. Connectivity had another strong quarter. Revenue was up 59% and we exited the quarter with a revenue run-rate in excess of $100 million. Gross margin increased from 32.7% to 56.8% and operating loss improved by $7 million to a slight loss of $1 million in the quarter. Slide 10. For the quarter, operating cash flow was $37 million, up 13% from $33 million a year ago. This increase was largely driven by working capital improvements in the current period. Free cash flow to equity improved for the same reason. CapEx for the quarter was $15 million, roughly flat compared to the prior year. Cap software was approximately $4 million, down slightly from Q3 of last year. Before jumping into guidance, let me provide an update on the international. As many of you know part of my responsibilities include our international operations. Over the last couple of quarters, I have been spending a material portion of my time on the ground with our teams and customers outside the U.S. Let me share a few observations and what you can expect going forward. Where we are today? First, data-driven marketing is every bit as important outside the U.S. as it is in San Francisco, Conway or New York. Acxiom’s global importance, particularly in light of the growing need for data on-boarding and connectivity is increasing and as a result will create new opportunities. However, operationally, we must do better. So where are we heading and what can you expect over time? Internationally, we have two priorities. First, we intend to be the leader in connectivity in key global markets. In fact, we are well down that path with our business plans and pre-launch activities in the UK, France and China. While it’s early days, we like our opportunity and are seeing initial traction in these markets. Second, in Marketing Services and Audience Solutions, we are focused on tightening our product offerings and capabilities across regions and strengthening our execution in order to create a business that is accretive to both our top and bottom lines. Again, there is still a lot to do, but I am confident we are up to the task. Now, on to guidance. First, our guidance excludes unusual items, including stock-based compensation, one-time expenditures and acquired intangible asset amortization. Given the strong top and bottom line performance this quarter, we are raising our guidance as follows. We expect revenue to be in the range of $835 million to $840 million and non-GAAP EPS to be as much as $0.54; connectivity revenue to approach $100 million for the year, up from our previous estimate of $90 million to $95 million; a negative FX impact of approximately $8 million for the year; CapEx to be no more than $65 million versus our previous guidance of $70 million; one-time expenditures to be roughly $22 million. We recognize this as higher than our previous estimate. That said we believe these incremental expenditures are being well deployed. They have been and are being made largely in our Marketing Services business, where we are focused not just on top line growth, but on long-term margin expansion too. We continue however to expect the bulk of these projects to be complete by year end and as a result, expect one-time spend to come down considerably in fiscal ‘17. And finally, given the reinstatement of the R&D credit, we now expect our full year tax rate to be roughly 35%. Before closing, a few quick comments on fiscal ‘17. As we are now finalizing next year’s operating plan, our priorities for value creation are clear, double down on connectivity in order to drive sustained high growth and global leadership in key markets. We will be investing in new products and capabilities as well as geographic expansion in the UK, France and China. Next, create value through performance improvements in both Marketing Services and Audience Solutions. Returning to a steady cadence of improvement in these segments is the top priority. Next, carefully manage our cash. This should mean CapEx will remain in check and one-time expenditures will come down considerably. And finally, do as we have done for the last 4 years steadily return capital to our shareowners. Thanks again for joining us. This was a solid quarter and we look forward to updating you in the quarters ahead. Operator, we will now open the call to questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Bill Warmington of Wells Fargo. Your question please.
Bill Warmington: Good evening everyone.
Warren Jenson: Hi Bill.
Bill Warmington: So I want to start out by asking about the strong gross media spend and then ask a little bit about what the vertical mix was there and how much, if any of that was being driven by political spend?
Scott Howe: Well, I mean first off, its calendar Q4, our Q3 and so you always get a holiday boost. In addition, yes there is some driver of political spend, but we haven’t broken it out by industry vertical. I think if you looked at us, though Bill, we would track almost exactly with kind of overall industry trends, with the exception of the fact our business mix as a whole tends to skew a little bit more towards financial services than the overall industry norm.
Bill Warmington: Got it. And then I was hoping you would comment on renewals that you are seeing in Marketing Services and Audience Solutions, how have those been trending?
Scott Howe: We are really pleased. Last quarter, we had what I believe to be kind of a record renewal quarter. And we talked about the multi-year renewal of one of our largest clients and that’s continued. I think as we look to next year, the combination of bookings and renewals gives us confidence that we are on the right path forward.
Bill Warmington: Okay. And then one other question on LiveRamp Connect, so if you could talk a little bit about how long does it take today to onboard a client and what are clients asking for in terms of that timeframe, where would they like to see it and what do you need to do in terms of investment to meet those requests by the client?
Scott Howe: It’s fast, relative – let me give you a frame or reference. In Marketing Services, to setup a database it takes months. In connectivity, to launch a campaign, it takes mere days and I don’t hear a lot of pushback from clients around the timeframe there. It’s a rather – if we are getting a request around timing, it’s from the constant desire to refresh data elements and traffic new segments and immediately push new use cases. So as you think about our development path going forward, that’s an element and we will just kind of wrap that under improving the usability of everything that we do. And that sits alongside improving our match rates, expanding our use cases and as Warren mentioned also expanding connectivity from where we are today, which is a very strong position, a leadership position in the U.S., to extending that to a handful of key international markets.
Warren Jenson: Hey Bill, one thing that I might add, this is a principal focus of our development efforts and investment this year. It’s really driving speed and scalability into LiveRamp. And I think it really marks something that is very powerful given the network effect. Just simply given the volume that we now have coming through LiveRamp, it allows you to make investments that just simply – that others cannot.
Bill Warmington: So when you think about investment for speed and scalability, are we thinking in terms of this fiscal year or are we thinking in terms of 2017?
Scott Howe: It has been a priority for this fiscal year and it will continue to be. With growth, scalability always has to be a priority, but speeding up our ability to onboard more quickly has been a direct focus of our engineering team at LiveRamp.
Bill Warmington: Well, thank you very much for the insight.
Scott Howe: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brett Huff of Stephens Inc. Your line is open.
Brett Huff: Good afternoon guys.
Scott Howe: Hi Brett.
Brett Huff: A couple of questions, one is kind of a housekeeping one. First of all, thanks for the additional disclosures by segment, that’s very helpful. It definitely gives us better insight into the businesses. But could you give us by segment the stats that are going to get us from pro forma EBIT to pro forma EBITDA. And I think that would mean the D by segment and the A that is not intangibles, do you have that or can you provide that?
Scott Howe: Here is what we can do, Brett, is if you take our – I would call it the DA, it’s about 85% associated with Marketing Services and Audience Solutions and probably 15% associated with connectivity. We do not intend nor do we think it – we don’t intend to break that out as between Marketing Services and Audience Solutions. But I think you can – I mean, to the extent you want to make an estimate, you can do that pretty easily. But it’s just given the interconnections between the two we don’t see ourselves breaking it out. But that’s a pretty good estimate.
Brett Huff: And is that DA, that D and A, that includes all the A, that’s intangibles as well as the amortization not from intangibles, that the holes should match?
Scott Howe: Yes.
Brett Huff: Okay. And then any just directionally, you would split of that 85% between those two, I know you – I don’t want to get too detailed, but majority one way or the other?
Scott Howe: I would – again, they are sufficiently connected that it wouldn’t be really appropriate for me to split them. We are taking – if I were doing it, I would simply base it largely on the revenue.
Brett Huff: Okay, that’s helpful. And then Scott, you mentioned bookings of about 15% up TTM for Audience Solutions, can you provide that insight for us for Marketing Services as well?
Scott Howe: Yes. As I did last quarter, if you just look at straight bookings, you don’t get the real picture for Marketing Services. So the way you got to think about it is, any given year, what are my bookings, what are my renewals and then what’s my variable. If you look at our bookings and renewals for Marketing Services on a trailing 12-month basis, we are in the strong, strong double-digit growth kind of position. And so all this to say is we like where we are relative to past years as we transition into FY ‘17.
Brett Huff: Okay, that’s helpful. And then just a little bit on your – go ahead.
Warren Jenson: Brett, while you are on, one other thing is on your EBITDA question, I would just focus your attention on Chart 14 in our deck and I think that lays it out pretty well between EBIT and then getting down to an adjusted EBIT for some of the intangible items you mentioned.
Brett Huff: Okay, that’s helpful. Thank you. And then in the – as we think about fiscal ‘17, you have given us some sort of qualitative sense to that, which is appreciated. In terms of Marketing Services and Audience Solutions, it sounds like we got good bookings growth TTM in Marketing or in Audience Solutions. I am assuming Scott your answer would yield positive bookings even ex-renewals in Marketing Services, should that roll forward and sustain that positive revenue growth we have seen this quarter, which I think is great, into ’17, I mean should we expect a positive number in those two segments from a revenue growth point of view?
Scott Howe: Yes. I will start and Warren will probably jump in. So first off, it’s too early to be issuing guidance for next year. We are working on that right now. And I will also say going forward in this year, I think Audience Solutions, our data business in particular, has some headwinds in Q4 that we have talked about before. But our goal all along has been to deliver sustainable top line growth for each element of our portfolio and we have always talked about this year as being kind of the transition year to accomplish that. So we like the path we are on and we feel good about next year.
Brett Huff: That’s great. And then last question is just any commentary on – you talked about investing instead of doubling down and really going after the connectivity business, both geographic expansion-wise and new product-wise, Warren I think you said in the past, expect continued investments through this year, even though you are closer to breakeven than maybe we all expected, is that – are we going to – I don’t want to be too specific, but do we expect breakeven at some point here in the next 12 months or is it still in investment mode through most of next year?
Warren Jenson: Well, we have been operating virtually at breakeven. It’s been a slight loss. I think it was about $1 million this year. So we – I would pretty much feel we have been operating at breakeven. In building our operating plan for next year, we looked at really just trying to appropriately invest our capital to the growth opportunity. And we don’t think we are anywhere close to a place where we should stop investing in connectivity. We have all kinds of opportunity in on-boarding. We have new products that are exciting and are being well received into the market and we have opportunities for global expansion. And I think the fourth quarter was a great example of that, adding 40 new contracts, adding 20 new customers. I can tell you internationally from having visited with some very sophisticated multinational companies, in particular, in Europe or you can go to China, data-driven marketing is every bit as much on their agenda as it is on any agenda in the U.S. So, this is a time to be all-in on connectivity. Optimizing margin is not our objective. It’s really optimizing the opportunity for growth and leadership in this important category.
Brett Huff: Great. That’s what I needed. Thanks for the detailed answers, guys. Great quarter.
Scott Howe: Great, thank you.
Operator: [Operator Instructions] As there are no questions in queue at this time, I would like to turn the call over CFO, Warren Jenson for any closing remarks.
Warren Jenson: Great. Thank you, operator and thanks to all of you for joining us today. We are pleased to report this quarter. On behalf of all of our associates at Acxiom, we want to thank you. I would also like to remind everyone that on February 23 in San Francisco is RampUp! which is the premier data-driven marketing event of the year. And this looks like a great program. Lot of people are going to be there and all of you are more than welcome. If you haven’t registered, simply go to the LiveRamp website and the registration form awaits you. We hope to see you then. Thanks a million and we will be talking.
Operator: Thank you, sir and thank you, ladies and gentlemen, for your participation. That does conclude your program. You may disconnect your lines at this time. Have a great day.